Operator: Good morning. My name is Briana, and I will be your conference operator today. At this time, I would like to welcome everyone to the Ingersoll Rand Second Quarter 2024 Earnings Call. Please note that this call is being recorded. [Operator Instructions] I will now turn the call over to Matthew Fort, Vice President of Investor Relations. You may begin your conference.
Matthew Fort : Thank you, and welcome to the Ingersoll Rand 2024 Second Quarter Earnings Call. I'm Matthew Fort, Vice President of Investor Relations. And joining me this morning are Vicente Reynal, Chairman and CEO; and Vik Kini, Chief Financial Officer. We issued our earnings release and presentation yesterday, and we will discuss these during the call. Both are available on the Investor Relations section of our website. In addition, a replay of this conference call will be available later today. Before we start, I want to remind everyone that certain statements on this call are forward-looking in nature and are subject to the risks and uncertainties discussed in our previous SEC filings. Please review the forward-looking statements on Slide 2 for more details. In addition, in today's remarks, we will refer to certain non-GAAP financial measures. You can find a reconciliation of these measures to the most comparable measure calculated and presented in accordance with GAAP on our slide presentation and in our earnings release, both of which are available on the Investor Relations section of our website. On today's call, we will review our company and segment financial highlights and provide an update to our 2024 guidance. For today's Q&A session, we ask that each caller keep to 1 question and 1 follow-up to allow time for other participants. At this time, I will turn the call over to Vicente.
Vicente Reynal : Thanks, Matthew, and good morning to all. I would like to begin by thanking and acknowledging our employees for their hard work, dedication and continuing to think and act like corners helping us to deliver another record quarter in Q2. Starting on Slide 3. Despite the challenging macroeconomic environment, our team delivered another record quarter results demonstrating the continued strength of our execution engine, IRX. We remain nimble and are prepared to pivot as market conditions change. And based on our solid performance, we are once again raising our 2024 full year guidance. Turning to Slide 4. Our economic growth engine describes how we deliver durable compounding results. We remain committed to our strategy and over the cycle, delivering our long-term Investor Day targets as outlined on this page. IRX is our competitive differentiator. And combined with our unique ownership mindset, we expect to continue to deliver long-term value creation. With that in mind, I would like to provide a brief update on our growth initiatives. On Slide 5, let me start with our inorganic growth initiatives. We're pleased to highlight 3 recently closed transactions, which together are expected to achieve an average of mid-teens ROIC by year 3. Let me quickly walk you through these deals. First, CAPS, which is a leading provider of complete air and power generation services. This is a great example of strategic channel expansion, giving us access to a large install base, strong end-user relationships and robust technician network. Next is Fruitland, which expands our technology with low-flow applications. And lastly, we have Del Pumps, a mission-critical, high-margin pumping solution across high-growth sustainable end markets in India. On the bottom of the page, I'd like to highlight that with the closure of these transactions, along with the closure of ILC Dover within the quarter, we have already far exceeded our annualized inorganic revenue target of 400 to 500 basis points, setting us up well for a good start in 2025. In addition, the funnel continues to grow and stay very active with deals mostly bolt-on in size. On our prior earnings call, we mentioned that we had also a couple of $1 billion purchase price deals in the funnel. During the second quarter, we decided to walk away from one of these larger transactions. And this is proved that we continue to remain very disciplined in our approach to M&A and committed to long-term shareholder value creation through effective capital allocation. We expect more bolt-on deals to be announced later in the year, further exceeding our annualized inorganic revenue targets. Turning to Slide 6. On this slide, I want to take a minute to walk you through why we're so excited about the ILC Dover acquisition, and deep dive into the biopharma business, which accounts for approximately half of the total business. With exposure to high-growth therapies like GLP-1 and ADCs, this business is well positioned to deliver double-digit growth in 2024 and beyond. The performance in biopharma is much better than the current market and speaks to the niche and unique nature of the product solutions and offerings we have. Let's start with GLP-1 or glucagon-like peptide-1 therapies, which are used in the treatment of type-2 diabetics and weight management. With the projected annual market growth rate of 20% to 30% over the next 5 years, GLP-1 manufacturers are rapidly expanding their capacity to meet both the current and growing market demand. We have deep and long-lasting relationships with our customers, where our proprietary single-use technology is already qualified into their production process, becoming an integral part of the validated bill of materials for GLP-1 production. As our customers expand capacity, either within their own facilities or CMOs, our products, all required inputs for these new production lines to minimize validation time lines, start-up cost and risk. As illustrated on the right-hand side of the page, ILC Dover provides proprietary best-in-class technology in terms of single-use containment bags, liners and other consumables that are used across a variety of steps in the GLP-1 drug manufacturing process, giving our customers the assurances they require to deliver compliant products to the market and reducing their cross-contamination risk. Moving on to ADC or antibody drug conjugates, which are used primarily in cancer treatment therapies. This market is expected to grow double digits annually over the next 5 years, driven by the efficacy of the technology. There have been several new ADCs approvals in recent years with a robust drug development pipeline for this type of therapy. Our patented containment technology is proven to perform better than both clean-in-place and single-use alternatives. And we believe our technology is 80% to 90% more cost-effective than a clean-in-place technology. We continue to see customers convert their existing production lines and install new capacity leveraging our single-use containment technology. I will now turn the presentation to Vik to provide an update on the Q2 financial performance.
Vikram Kini : Thanks, Vicente. Starting on Slide 7. Despite the increasingly challenged macroeconomic environment, we delivered solid results in Q2 through a balance of commercial and operational execution fueled by IRX. Total company organic orders declined 1%, finishing largely in line with expectations. We saw strong sequential orders growth of 5% for the total company with the book-to-bill of 1.0x. Consistent with our guidance, book-to-bill finished above 1 in the first half at 1.0x. This provides us with a healthy backlog to execute in the back half of the year and gives us conviction in delivering our full year 2024 revenue guidance. Organic revenue was up 1% for the quarter and up 13% on a 2-year stack. The company delivered second quarter adjusted EBITDA of $495 million, a 16% year-over-year improvement and adjusted EBITDA margins of 27.4%, a 220 basis point year-over-year improvement, driven predominantly through gross margin expansion, partially offset by investments for growth in SG&A. Adjusted earnings per share was $0.83 for the quarter, which is up 22% as compared to the prior year. This marks 6 consecutive quarters of double-digit EPS growth and 12 out of the last 14 quarters of double-digit EPS growth beginning with Q1 of 2021. Free cash flow for the quarter was $283 million, and total liquidity was $3.7 billion, with $1.1 billion of cash on hand at quarter end. Our net leverage was 2.0 turns, which is up 1 turn versus the prior year. This increase is primarily driven by the $2.325 billion acquisition of ILC Dover. For the full year, we do anticipate net leverage finishing at approximately 1.5 turns. Turning to Slide 8. For the total company on an FX-adjusted basis, Q2 orders were up 5% and revenue increased 8%. Total company adjusted EBITDA increased 16% from the prior year. The ITS segment margin increased 230 basis points, while the PST segment margin increased 110 basis points year-over-year. Overall, Ingersoll Rand expanded adjusted EBITDA margins by 220 basis points. Corporate costs came in at $44 million for the quarter, largely in line with expectations. And finally, adjusted EPS for the quarter was up 22% year-over-year to $0.83 per share including an adjusted tax rate for the quarter of 21.3%. On the next slide, free cash flow for the quarter was $283 million, including CapEx, which totaled $22 million. Total company liquidity now stands at $3.7 billion based on approximately $1.1 billion of cash and $2.6 billion of availability on our revolving credit facility. Leverage for the quarter was 2.0 turns, which is a 1 turn increase year-over-year. As noted earlier, this increase was driven primarily by the purchase of ILC Dover, which was funded through $2 billion in bonds and $325 million in cash. Specifically, within the quarter, cash outflows included $2.6 billion overall deployed to M&A as well as $71 million returned to shareholders through $63 million in share repurchases and $8 million for our dividend payment. Our capital allocation strategy remains unchanged with M&A being our top priority and we continue to expect M&A to be our primary use of cash as we look ahead. On Slide 10, I'd like to take a minute to highlight the transformation of our debt portfolio. This transformation has been underway for several years, and I'm pleased to say that we now have a fully investment-grade structure. Also important to note that within the quarter, we received a 1 notch upgrade from each of the 3 rating agencies, which you can see highlighted on the right side of the page, further solidifying our investment-grade status. In terms of the overall capital structure, in May, we issued $3.3 billion of unsecured investment-grade bonds. The proceeds of the bond issuance were used to repay $1.23 billion of our legacy secured term loans and $2 billion was used to partially fund the acquisition of ILC Dover with the remainder retained for general purposes. In addition, we took the opportunity to increase the size of our revolver from $2 billion to $2.6 billion, which further provides flexibility to execute on our strategic initiatives. As a result of this debt portfolio transformation, we now have a fixed-to-floating ratio of 84% fixed and 16% floating and extended our weighted average maturity on our overall debt from 6 years to 10 years. Our new capital structure is designed to facilitate our long-term capital allocation strategy, and we remain committed to maintaining our investment-grade status. Finally, our 2024 gross interest expense outlook is now approximately $215 million. On an annualized basis, we expect gross interest to be approximately $260 million as we move into 2025. I will now turn the call back to Vicente to discuss our segment results.
Vicente Reynal : Thanks, Vik. Moving to Slide 11. Our Industrial Technologies and Service segment delivered solid year-over-year revenue growth of 6% on top of approximately 20% growth in Q2 of last year. Adjusted EBITDA margins were 29.7%, up 230 basis points from the prior year, which was driven primarily by gross margin expansion. Book-to-bill was onetime, with organic orders down 2.6%, which was largely in line with expectations. Important to note that we saw sequential order growth of 5% which were primarily driven by compressors. Moving to the program highlights. Compressor orders were up low single digits while still comping a low double-digit growth in Q2 of 2023. It's good to note that we saw positive order growth across Americas, EMEIA and Asia Pacific, excluding China. Compressor revenue was up mid-single digits in the quarter, which we view still healthy after mid-teens growth in Q2 of 2023. Industrial banking orders were up low single digits and revenue was up mid-teens. For innovation in action, we're highlighting Elmo Rietschle new high-speed blower technology, which was recently launched in Europe. This patented oil-free technology offers a 60% reduction in energy consumption compared to a traditional blower technology, enabling productivity for the customer and reducing total cost of ownership by up to 50%. Turning to Slide 12. The PST segment achieved 6% organic order growth and deliver adjusted EBITDA of approximately $103 million with a margin of 30.3%. It is encouraging to see that the legacy Ingersoll Rand Life Science business saw organic order growth of 8%. In addition, short cycle orders in the PST segment remained positive with book and ship orders up mid-single digits year-over-year. We see organic order growth stabilizing, and we remain positive about the underlying health of the PST business and it remains on track to meet our long-term Investor Day growth commitments. For our PST innovation in action, we're highlighting an extremely innovative technology within the legacy Ingersoll Rand Life Science business. Combining multiple technologies across different brands, we have developed a product offering in micro-fluidics to create a customized liquid handling automated system for biotech R&D labs as well as the production of personalized therapeutics. This innovative technology drives up to 50% productivity versus existing processes in a market that is expected to grow approximately 20% through 2027. On the next slide, I would like to spend a minute discussing the current market trends as we always get a lot of questions about our leading indicators. A key leading indicator of our short-to-medium cycle business is marketing qualified leads or MQLs. As illustrated on the top chart, our MQL continues to grow. In Q2, we saw organic MQLs up 13% year-over-year. As for the longer-cycle component of our portfolio, one key indicator we look at is the funnel activity for engineered-to-order compressor systems. We remain encouraged as the funnel activities up 27% in the first half year-over-year. While the leading indicators have been encouraging, we have seen an elongation in the decision-making process with the prolonging of the time to convert an MQL to another. The feedback we hear contains multiple reasons. But some of the most often cited are customer site readiness and too many projects happening at the same time which is impacting EPC engineering capacity. Having said this, this situation is encouraging as we look to 2025. Switching back to 2024 expectations, from a regional perspective, Americas is on pace to deliver mid-single-digit organic revenue growth. EMEIA remains stable, and we see very good pockets of growth, primarily in the emerging markets of India and the Middle East. Asia Pacific and specifically China is a key driver of the reduction in our organic growth guidance. Moving next to inorganic growth. We're anticipating approximately $270 million of incremental revenue from our recently acquired M&A. ILC Dover is the largest driver, contributing approximately $220 million of revenue in 2024. The biopharma business as highlighted earlier in the deck remain strong and on track to deliver double-digit growth. However, we do anticipate that the Aerospace & Defense revenue to be down approximately $30 million versus our initial expectations and this is driven by lower-than-expected activity levels in our space business, predominantly related to the next-generation spacesuit, which is often referred to as xEVAS. As we move to Slide 14, given the solid performance in the first half, our recently acquired M&A and our expectation of continued operational execution fueled by IRX, we are once again raising our 2024 guidance. The company revenue is expected to grow overall between 6% to 8%, which is up 200 basis points versus our initial guidance. As discussed on the previous slide, we anticipate positive organic growth in the range of 0% to 2%. The reduction in the range versus our prior guidance is largely attributable to lower organic growth expectations, specifically in China. FX is now expected to be a 1% headwind for the full year, which is down approximately 100 basis points as compared to our previous guidance. M&A is projected to contribute approximately $440 million, which reflects all completed and closed M&A transactions as of July 31, 2024. Corporate costs are planned at $170 million and will be incurred relatively evenly per quarter for the balance of the year. Total adjusted EBITDA for the company is expected to be in the range of $2.01 billion and $2.06 billion, which is up approximately 14% year-over-year at the midpoint. Adjusted EPS is projected to be within the range of $3.27 and $3.37, which is up 2% versus prior guidance and approximately 12% year-over-year at the midpoint. On the bottom right-hand side of the page, we have included a 2024 full year guidance bridge, showing the changes in our latest guidance as compared to our previous guidance provided in May. As you can see, the primary driver of adjusted EPS growth is associated with operational execution partially offset by increases in the net impact from interest and FX. We're also seeing a $0.02 improvement in our adjusted EPS as compared to our previous guidance from an improvement in our full year adjusted tax rate. Gross interest expense is now expected to be approximately $250 million and net interest expense will be approximately $170 million and will be incurred relatively evenly per quarter for the balance of the year. The adjusted tax rate is expected to finish in the year between 22% and 23%. No changes have been made to our guidance on CapEx spend as a percentage of revenue, free cash flow to adjusted net income curvation or share count, all remain in line with our previous guidance. Finally, as we turn to Slide 15, I'm very pleased with how our teams continue to execute despite overall market conditions. We continue to deliver record results and our updated guidance is reflective of our first half performance and ongoing momentum. With our most recent guidance, we continue to expect to deliver results above of our long-term Investor Day targets. Based on the midpoint of our 2024 full year guidance, the 4-year CAGR for organic revenue growth will be approximately 10%. We think this continues to show durable outperformance over the cycle. That in combination with our inorganic growth, robust margin expansion and execution of IRX, we expect to deliver a 4-year CAGR in excess of 25% for adjusted EPS. To our employees, I want to thank you for the strong results thus far showing the impact each of you have as owners of the company. Thank you for your resiliency, hard work and focused attention. We believe the power of IRX, combined with our ownership mindset and leading portfolios, strengthens the durability of our company while delivering long-term value to shareholders. With that, I will turn the call back to the operator to open the call for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Mike Halloran with Baird.
Mike Halloran : So let's start with the change in the second half organic assumptions. If I look at how the second quarter progressed, it feels generally consistent with what you were talking to on the top line coming into the quarter. The book-to-bill, orders down a little bit. Revenue levels came in at a reasonable level, all else equal. I certainly understand the commentary about a little longer to close on some of these transactions and pushouts of the orders as well as the China piece. So twofold question. One, was there something about July that you saw that maybe change that trajectory? And two, could you parse out some of the underlying things you're seeing from a demand environment excluding some of the project pushouts and if there's any changes elsewhere beyond just the China comments?
Vicente Reynal : Yes. No, thank you, Mike. I mean I think you priming up actually quite well. So the answer to your first question is definitely no. I mean, nothing that we saw in July that gives us the concern and the change in kind of how we think about it. I think also, as you said, I mean I think things kind of are operating in the first half exactly as we expected. You saw that even we saw some very good sequential improvement Q1 to Q2 orders improving 5% and actually improving on both segments, not only the ITS but also in PST and -- but kind of when we think about the guidance and also you can see that in the second half, we do anticipate still organic revenue growth to be positive with a very good phase-in between revenue and EBITDA similar to prior years, which obviously implies that we'll continue to see some kind of good improvement here sequentially. But in terms of the guidance, I think the reduction is really predominantly driven by China. Again, although we also were fairly encouraged with what we saw improvements Q1 to Q2 in China, which was positive. And we're also encouraged by kind of what we hear from our teams in terms of level of activity in the month of July, driven by these new programs in place of replacing equipment that the government is putting out together in the market. We feel that we're taking the approach to be prudent and not necessarily see that the market materially changes in the second half in China and kind of keep it more, I would say, stable from here onwards. I will also say kind of in terms of what -- I mean any other changes in terms of market dynamics. I mean, not necessarily, we were very transparent here in terms of leading indicators that we always talk about, which is MQLs and funnel acceleration, just to show that market activity continues to be actually pretty good. I think is this elongation in what we call the velocity of converting some of those either formal or MQLs through the process, it seems to be kind of a little bit more elongated. Could that be driven by elections or could that be driven by geopolitical and obviously, what we hear about EPC capacity constraints and site readiness. There's a little bit of a few different points. I think, in our view, what we wanted to do is just kind of be more prudent as we go here into the second half. And again, based on these good visibility that we see on leading indicators, feeling good about how this could play out as we kind of head into 2025.
Mike Halloran: That makes sense. And does that change how you guys were articulating the book-to-bill and order cadence from last quarter, if I remember correctly, it was orders slightly negative front half, but positive back half and then the inverse on the book-to-bill. Is that still the way to think about it? Or do these pushouts shift some of that numbers?
Vicente Reynal : No, that's exactly the way to think about it, Mike, spot on. Yes.
Operator: Our next question comes from the line of Julian Mitchell with Barclays.
Julian Mitchell: Maybe Vicente, it seems like China was the sort of the pivot point on the organic guide. So maybe a little bit more color there. You mentioned the teams on the ground sound more optimistic, but maybe just put some numbers around it, sort of remind us, I guess, total China revenue exposure of Ingersoll Rand and then what were organic sales in China down in the first half of the year? And what does the midpoint of the guide embed for second half revenue trends year-on-year in China, please?
Vikram Kini : Yes. Julian, this is Vik. Maybe I'll start and I'll let Vicente add some color as well. In terms of the first part of your question, I think fairly consistent with how we've described it historically, and it's important to note that this is a consistent statement about -- across both segments, both ITS and PST. Total APAC is roughly about 20% of the revenue base. And China is the lion's share of that, probably somewhere in the high-teens percent so the preponderance of that revenue base in APAC is China. To kind of give rough numbers in terms of the growth expectations, and I'll focus my commentary on the revenue side. In the first half, total APAC, which, of course, China is the biggest driver is effectively down, let's call it low double digits on the revenue base. It's important to note, obviously, the comps still pretty meaningful in the first half of the year. And as we move to the back half of the year, as Vicente just indicated, we do continue to see stability and some sequential, I'd say, progress from first half to second half. And then year-over-year, we actually expect probably to be closer to flattish year-over-year, both that stability moving from first half to second half, but also important to note that the comps do get a little bit more easier, comparatively speaking, in the back half from a revenue perspective, specifically in China.
Vicente Reynal : The other thing to add there, and I think in terms of kind of some of the color that we see is that if you were to even exclude some of these kind of large projects, long cycle projects, China order is kind of that core business, which excludes this long cycle, especially fairly still good momentum there, Julian. So I'll say that even though in this challenging environment, they're still performing actually quite well.
Julian Mitchell: And then just my quick follow-up. Just within the sort of second half guidance as we think about kind of seasonality. I realize there's some distortions sequentially into Q3 because of the acquisitions that closed in early June. But when we think about sort of third versus fourth quarter in your guide, are we thinking kind of Q3 is, I don't know, 25%, 26% of the year's EPS. And then revenue-wise, you kind of have just under $1.9 billion in Q3 and maybe just over $1.9 billion in Q4. Is that the way to think about it?
Vikram Kini : Yes. So, I think you're close enough around it, and I think that's probably the right way to think about it. So interesting enough, I'd say the seasonal phasing, whether it be on the revenue side or on the earnings side, not dramatically different than what you've seen in prior year, slightly more weighted towards the back half than the front half. That is correct.
Operator: Our next question comes from the line of Jeff Sprague with Vertical Research Partners.
Jeff Sprague : Vicente, can you drill in a little bit more on kind of PST in general, but kind of biopharma markets in particular? It does sound like you're seeing and feeling kind of the turn in those markets. But just kind of speak to what's going on in the channel or the channels cleared, what the outlook for maybe the remainder of the year is there.
Vicente Reynal : Yes, absolutely. Jeff, so let me kind of break it into a couple of things. I mean, first of all, let's talk about the legacy Ingersoll Rand Life Science business and medical business as you saw, very, very good momentum in the quarter in Q2 with very nice growth at 8%. So that's actually very encouraging to see. And some, I'd say, good wins as we continue to -- you saw the product in action, the innovation in action that we put there. And so I'm getting -- that team is getting some very good exposure to personalized medicine, particularly around cancer treatment, which is very encouraging to see that. And I think on top of that, I mean, I think we're now 2 months into the ownership of ILC Dover with biopharma. And I think the team continues to stay pretty encouraging on what they're seeing now there and as we go out and meet with the teams, we see some continued good momentum there. And you saw in the prepared remarks that we still expect that business to be able to generate that kind of double-digit growth for this year. So again, speaks to the good kind of product innovation and nicheness of our technology and how we're particularly trying to be very focused on specific end markets that are seeing outside growth.
Jeff Sprague: And then maybe just shifting maybe this is total IR, maybe biases a little bit more towards industrial tech. But what's going on with kind of service, service attachment? Is it growing here? How does it look into the back half?
Vicente Reynal : Yes. Great, Jeff. Thank you for asking the question. I think we continue to be very excited about all the actions that we're doing around the care packages and the service attachment. As a matter of fact, I mean, even this week right now here, we have a team kind of getting together to talk about the continuation of taking service activities to the next level. So we continue to be very encouraged of what we're seeing and whether it is with just regular kind of service attachment, but also Ecoplant as Ecoplant continues to see some progression. And you saw that even also we acquired a company called CAPS in Australia, and that's ready to give us more better channel, better access with a larger footprint on service. So service continues to be a very high priority for all of us as we move forward.
Operator: Our next question comes from the line of Rob Wertheimer with Melius Research.
Rob Wertheimer : So my question is on gross margin. It was great in the quarter. I wonder if you could touch on price cost a little bit, price and competitive dynamic and how you're kind of winning or not share in the market. And then just out of curiosity, when you have that higher gross margin, you can lean a bit more into spend. Curious how you manage that and what that kind of increased -- it wasn't but increased spending might be.
Vicente Reynal : Yes, Rob, great question. The gross margin expansion, very pleased to see a lot of that. And driven through the execution of initiatives like [indiscernible], as you mentioned, but I2V as well as the higher recurring revenue streams that we were just even talking about on the last question. So all of that is really inflecting some very good expansion into our gross margin that helped us deliver that expansion into our EBITDA margin. And absolutely, we're definitely investing. I mean, we can do to invest in areas like demand generation, R&D and many other areas as needed, whether sales force activity and service technician to continue to grow the recurring revenue. I'm sorry, on price cost, Vik, do you want to comment on that?
Vikram Kini : Yes. On the price cost side of the equation, so specifically in the quarter, price was, let's just say, approximately 2.5% across the entire enterprise, fairly comparable between the 2 segments. And then from an inflationary perspective, I'd say the commentary is very similar to what we saw in Q1. I'd say the direct material side, it kind of continues to move sideways. So not a lot of what I would say, headwinds on a year-over-year basis, but kind of sideways. And then I'd say on the labor side, relatively normal course. So again, continue to see good pricing momentum from the organization, good translation to the bottom line and you see that reflected in the gross margin profile, along with some of the other initiatives that Vicente spoke to.
Rob Wertheimer : Got it. And then just a minor follow-up. Just pricing looking forward, roughly the same. And what does the new normal and price feel like now? Is it going forward as far as you can see or 2 or 3 years? Or any commentary? And I'll stop.
Vikram Kini : Yes. Just to keep it relatively simple. I think we've said that pricing will kind of return to, I'd say, a little bit more of the norm that you've seen historically, which is probably around that 1% to 2% gross pricing levels or net pricing level, I should say. And if you think about where we're headed in the back half, I think that's kind of where we should be. We were still benefiting from a little bit of some of the carryover pricing actions from last year here to the first half. But we would expect between 1% to 2% is probably a good indicative range for the back half of 2024 as well as expectation for '25 onwards.
Operator: Our next question comes from the line of Joe Ritchie with Goldman Sachs.
Joe Ritchie : Vicente, can we double-click on that commentary around the MQLs and the plays that you're seeing? I'm just curious, like, obviously, there's a lot of activity, particularly happening in the U.S. with mega project activity. And I'm just wondering if that's just a function of, look, these projects have started, but you guys aren't really seeing the orders as quickly at this point, but they're on the come because projects have broken ground. Just any other color you could give us around that would be helpful.
Vicente Reynal : Yes, Joe, I think good question. And I would say on that slide, we try to separate 2 things, the kind of short to medium cycle and then the long cycle. And I would say that the mega projects perhaps view more on that kind of more on the long cycle, where we continue to see funnel increases, but there is that continued elongation driven by -- in some cases, we have seen some of the EPCs having 2 to 3 years of backlog and kind of creating a delay in how they continue to release those basically large projects into orders. So I think it's just -- that's why when we made the commentary, we said, "Hey, I think it's good news as we think about ahead and particularly maybe as we think even around 2025, that there is this perhaps a lot of projects that as they get released, we will see some better momentum on that." So -- and from an NPL perspective, which is kind of the short to medium cycle, I mean we made some commentary around PST. I mean, PST on that short cycle business continues to be actually quite good at mid-single digit growth even in the second quarter. We just wanted to show that MQL, it is double-digit kind of growth on a year-over-year. Clearly, all of that doesn't translate into the orders as we're not seeing that double-digit orders, but is a great indicator as to the market activity on how we're instigating them and how we're getting really penetrated into new accounts and new customer base. And I think that's just for us a good leading indicator on an ongoing performance for us.
Joe Ritchie: Got it. That's super helpful, Vicente. And then my other question, like, look, to take this a variety of different ways, but congrats on shoring up the balance sheet from a leverage standpoint and from a debt standpoint. I know how important M&A is for you guys going forward and how it has been a great value creator for you. It is interesting to see you take down the aerospace and defense number for the year by $30 million. I know that's a small number. And I think that, that's the part of the piece that came out of the ILC Dover acquisition that you just completed. So I guess the question is, as you're kind of thinking through these acquisitions and there might be pieces of these acquired companies that you buy that you'll have inherent volatility. How are you thinking about like managing that going forward as you look through your evaluation process?
Vicente Reynal : Yes, great question, Joe. I think particularly if you think about ILC Dover, we're very excited about the business. And if you remember when we talk about the company, very excited about that exposure into the Life Sciences, which is basically 75% of -- approximately 75% of our total business for ILC Dover is Life Sciences with a good blend between biopharma and medical device component. And we always spoke about, in this case, aerospace being a bit of an optionality. Good exposure, good things to learn, but also good to better understand. So as we continue to go forward and learn more about the business, what we can do with it, you know that historically, we have always been pleased with doing -- whether it is carve-outs and then selecting bases that we like or emphasizing more on one versus another. But I think it's the purpose of the strategic view that we had with ILC Dover is a higher penetration on to the Life Science side of the business.
Operator: Our next question comes from the line of Andy Kaplowitz with Citi.
Andy Kaplowitz : In the center, Vik, you started out essentially flat in terms of organic revenue growth in the first half of '24. So I think in order to hit the midpoint of your guide now you need to grow the high end of that 0% to 2% for the second half. So we know you have easier comps, but do you need to see any incremental acceleration in your short-cycle businesses to achieve that midpoint? Are you basically just assuming more status quo in terms of short-cycle markets now remaining somewhat constrained in long-cycle markets contributing more growth?
Vikram Kini : Yes. Andy, this is Vik. I think the way you've described it is correct. So just to calibrate the numbers. I think you're right, 1% to 2% organic growth in the back half of the year is probably the right way to think about it system-wide. I think in terms of the components and the moving pieces, yes, I think what we would say here is relative stability, no dramatic, let's just call it, hockey stick improvement or anything of that nature in the back half implied. Obviously, we've taken down the China expectations, which is effectively the preponderance of what changed the organic growth guide. So I think now it's execution of the backlog. You know that we typically do have a little bit of seasonality in the business where second half is stronger than first half, that's no different this year. And I think the other factors you mentioned here are largely accurate. So I think we feel comfortable with the guidance as provided.
Andy Kaplowitz: That's helpful. And then maybe can you talk about what happened to PST adjusted EBITDA margin in Q2? I mean it's down sequentially despite significantly higher revenue. I think we recognize there's a fair amount of acquisition-related revenue in there. But I thought ILC Dover was coming in at accretive margins in the segment. Are there acquisition margins or something else happens in the quarter?
Vikram Kini : Yes, Andy, so just to address the second part of your question first, we did have 1 month of ILC Dover results in Q2. And I'd say largely in line with expectations both from a top line and bottom line and profitability perspective. I think, generally speaking here, about 30.8% EBITDA margins to about 30.3%. I wouldn't attribute that to anything more than just some of the normal course revenue mix and things of that nature from the balance of the business. Nothing that I think you should read into any further than that as we think, frankly, going forward here into the back half of the year, those numbers closer trending sequentially better from Q2 and into Q3 and then Q3 to Q4, absolutely. So I don't think anything has changed in our context as far as that getting to a mid-30s EBITDA margin profile over the next few years in line with our Investor Day targets for PST. So nothing has really changed in that respect.
Operator: Our next question comes from the line of Steve Volkmann with Jefferies.
Stephen Volkmann : Most of my questions are answered. But I'm curious to go back to your kind of indicators, the MQL and the funnel activity. You must track kind of win rates or conversion or something over time as well. Any changes to note there?
Vicente Reynal : Yes, we do. And no changes on that. I think the change has been basically more because we also track the velocity of those kind of projects or orders through the funnel and that is basically what I would say has maybe changed and then the reason why we call it that elongation. But in terms of win rates and all that, no change in that.
Stephen Volkmann: Okay. And then I'm curious about this CAPS acquisition. I'm not sure if I'm reading this right, but this sounds like you're actually providing power and air to customers, which is kind of a different kind of service, I think, than most of the rest of what you do. Does this open up sort of a new area where you can be more of a power-by-the-hour type supplier across a bigger addressable market?
Vicente Reynal : Yes, Steve. I would say that, I mean, they're mainly primarily a compressor distributor. They do have some power side of the business that is small in nature, but interestingly enough, I mean they actually have provided power for some -- even including data centers, I mean, amongst all things. So I think it's just an interesting area that we're learning, and we have some chiller technology with Friulair that we're seeing how can we interact. So I mean, we're definitely learning a lot on that side. In terms of air, air by the hour or things like that, we do have some of those programs already in place in Australia, even with our legacy Ingersoll Rand side of the business, and we call it air over the fence in many cases. But I think we're very excited about CAPS. I mean it gives us a tremendous amount of footprint in Australia and great connectivity to a very good level of customer base in addition to the great strong base of revenue that we already have with Ingersoll Rand.
Operator: Our next question comes from the line of Nigel Coe with Wolfe Research.
Nigel Coe : Yes, we've got a lot of ground already. I just want to make sure that we've got the second half book-to-bill sort of lined up here. I think in response to Mark's question, I think you talked about the inverse of the first half. So are we talking about sort of like a high 0.9, maybe like close to 1x book-to-bill in the back half or ITS? And obviously, that would suggest orders up mid- to high single digits. So I just want to make sure that's the message. And what do we see getting better here? Do we see China improving? Are we expecting some of these larger projects that start breaking free? Because it sounds like the EPC project bundle is not really breaking for until 2025. So just want to just try and dial into that comment.
Vicente Reynal : Yes. Sure, Nigel. So book-to-bill, yes, definitely less than 1 in the second half, which is kind of back to our normal way of -- we always said [indiscernible] and 1 in this first half and then it's basically less than 1 in the second half. And that would imply kind of since I would say, maybe to the numbers, I mean, think about it, Q3 and Q4 is slightly different, but low single digits year-over-year in Q3 and Q4. That's kind of what we imply there. Although keep in mind that we don't tend to guide on orders, but you can do the back of the envelope calculation there. And on the second question, I mean the EPC and the large project continues to still be at play here in the second half. I think what we're saying is that this elongation of decision-making is taking much longer. And for better or letter way of saying it, we're discounting that even further. But these are projects that are active and whether they might happen in the second half or they may happen as we go into 2025. We view that as great visibility as to what's out there in the market that will be eventually coming back to us.
Nigel Coe: Okay. So low single digit growth in the second half of the year, okay. That's helpful. And obviously, China is the issue here. I had battery EV as maybe 15% or so of the China business. I want to make sure that's still the sort of the right zone there. And just thinking about your verticals across the globe. I mean, we are seeing some noisy trends in food and beverage. So I'm just curious if you're seeing stable trends in food and beverage or whether there's some noise there as well.
Vikram Kini : Yes. Nigel, on the first part, we don't typically talk about kind of like end market, let's just call it, designations within our specific regions, but I think it's fair to say that EV battery, solar were too meaningful end markets in terms of the order and revenue contribution in 2023. I'd still say they are active markets, but just, frankly, obviously, not at the same level as what you've seen in prior year. And Vicente, I'll let you comment on the food and beverage.
Vicente Reynal : Yes. Food and beverage, I mean, nothing of note to be honest here, Nigel. I mean I think food and beverage will continue to sell based on just as we always do in terms of sustainability, whether it is return on investment based on energy savings, the ability to be able to provide service agreements. So a good combination of all and it's about prioritizing the spend in those facilities. And as long as we show a great return on investment, which we are with our technologies and our solutions, we can get that into us.
Nigel Coe: And just to clarify, Vicente, the low single digit, that's organic, not reported, right?
Vicente Reynal : That's right. That's exactly right, yes.
Operator: Our next question comes from the line of Joe O'Dea with Wells Fargo.
Joseph O'Dea : So I also wanted to ask on some of the site readiness and EPC dynamics you're talking about. And just your evaluation on why that's emerging now. It doesn't seem like the demand environment has changed all that much. I'm not sure if this is more of a reflection of kind of mega project funnel, but just what you've seen over the course of the past 2 or 3 quarters such that this would be emerging as a challenge now. And then as it relates to the guide and expectations in the back half of the year, does that embed kind of any expectation that some of these sort of projects move forward that the EPC capacity eases or if any of that happens, should we think about that as more kind of upside?
Vicente Reynal : Yes. I'll take the first one and let Vik kind of talk about the second one. As you know, and I think you said it and someone said it as well. I mean, there's been a lot of megaprojects approval for the past few years. But not all those orders and revenue have been seen from those projects. And so there's definitely bottlenecks throughout the process. And what we hear is basically that customer site readiness due to labor but also that EPC capacity. I made an example about an EPC in Europe that currently has something like 2.5 years of backlog in orders that they got to kind of push through the process. And what we're saying here is that it seems to bring to light, but potentially of having good 2025 as some of those projects get released and perhaps hear some as well here in the second half. Second question, Vik?
Vikram Kini : Yes. I think, Joe, in terms of the second half, is there anything directly embedded? No. I think this is a simple answer. Obviously, our second half includes execution on existing backlog. Obviously, there's a component of longer-cycle projects like you've seen in prior years. To the degree, as Vicente said, some of the solutions up or things like that, great. I would view that as potential maybe some orders. But remember, most of these are 6- to 18-month lead time type project. So reality is those will not convert to revenue until 2025 or later.
Joseph O'Dea: Got it. Yes. No, makes sense, comments helpful. And then also just in terms of China, is it right that, that China kind of played out as expected, more or less in the first half of the year? And so the guidance adjustment would be more reflective of the second half of the year, a little softer than anticipated. And if so, it seems like it's more kind of stable in China first half to second half. And so what did you think might get a little bit better at this point in time doesn't seem like it's going to play out that way?
Vicente Reynal : So I'll say that China definitely played out very well in terms of what we kind of saw in the first half. I will say that even in some regards, slightly better because we saw that Q1 to Q2 sequential improvement in orders in China, which we were surprised to see and the team building some backlog. We just decided that based on everything that we can see coming out of China and whether geopolitical elections and all of that kind of put together, we decided to be more prudent and kind of put China more as being stable here in the second half versus seeing any material improvement from here onwards.
Operator: Our next question comes from the line of Nicole DeBlase with Deutsche Bank.
Nicole DeBlase : We've had a lot of discussion around the large project activity in ITS. I guess can you talk a little bit about what you guys saw on the short cycle part of the business from an order perspective throughout the quarter?
Vicente Reynal : Nicole, I would say that one data point that we talked a lot about is that kind of short cycle on the PST side, mid-single-digit kind of growth in Q2, which is actually very good to see. And when you think about all the other in the ITS side, I mean, all the regions, including -- except obviously China, they saw actually some very good momentum too as well. As indicated, as you can see in terms of some of the product line aspect that we talked about compressors and compressor has been up from an orders perspective, kind of in the second quarter, which obviously a lot of the compressor that's driving to as well, the majority for us is on that kind of short cycle side, short to medium cycle.
Nicole DeBlase: Got it. And then on the ITS margins, is the expectation that margins kind of remain in this slightly below-30% zone in the second half?
Nicole DeBlase: Yes. Nicole, that's a fair conclusion. Yes. Around 30% is a pretty good number.
Operator: Our final question comes from David Raso with Evercore ISI.
David Raso : Two quick things. Maybe I missed it, I apologize, a lot of earnings this morning. But you made a comment about deciding to walk away from one of the larger transactions. Can you provide a little color? Was that strictly a price-related decision to walk away or something about the markets or anything you could enlighten us on why you'd walk away to maybe -- to learn more how you think about other larger deals that could be coming?
Vicente Reynal : Yes. Good question there, David. I think the reason for that is that, first of all, I say this is a transaction that we cultivated for past kind of 3 years. So we've been kind of watching them on the sidelines and learning a lot about them. And this transaction, I would say, fell really more into the adjacent category as compared to our core offering of compressor blower and vacuum. But yes, I mean, I think, ultimately, it was all about valuation. I mean we continue to be highly disciplined. And we assume very well know, we tend to do a lot of our ROI analysis around the line, so things that we can control and how do we view that business on areas that we can control versus extrapolating on revenue activity that we tend to discount heavily. So I will say that, ultimately, that led to a performance that we've decided that it was just not the right timing for us.
David Raso: And one follow-up, maybe I should know this, but I don't. The new -- with ILC, right, PST is going to be, call it, a run rate, a $1.7 billion business. I think $700 million or so will now be a Life Science piece and then the other $1 billion is the Precision Tech. Within the total segment margin of, call it, 31% this year, something like that, what's the difference between the margins of Precision Tech and Life Sciences?
Vikram Kini : Yes, David, interesting enough. Yes, quite comparable to each other. I wouldn't tell you there's a meaningful mix differential between the 2. Both are playing in and around that, I'd say, segment average profile. So actually quite comparable.
Operator: This will conclude our question-and-answer session. I will now turn the call back over to Vicente for closing remarks.
Vicente Reynal : Thank you, Briana. I'll just say thank you for your level of interest, and I appreciate all the questions and all the participants that I know many of our employees are actually listening to the call and to those that are listening to the call, I'd just say thank you again for another great quarter performance. And let's get out of here now to execute again here in the second half of the year. With that, thank you very much, and have a good day.
Operator: This will conclude today's conference call. Thank you all for your participation. You may now disconnect.